Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Wheaton Precious Metals 2021 Fourth Quarter and Year-End Results Conference Call. Note that all lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session.  Thank you. I would like to remind everyone that this conference call is being recorded on Friday, March 11, 2022 at 11 AM Eastern Time. And I would like to turn the conference over to Mr. Patrick Drouin, Senior Vice President of Sustainability and Investors Relations. Please, go ahead, sir.
Patrick Drouin: Thank you, operator. Good morning, ladies and gentlemen and thank you for participating in today's call. I'm joined today by Randy Smallwood, Wheaton Precious Metals President and Chief Executive Officer; Gary Brown, Senior Vice President and Chief Financial Officer; Haytham Hodaly, Senior Vice President, Corporate Development; and Wes Carson, Vice President of Mining Operations. Please note that for those not currently on the webcast, the slide presentation accompanying this conference call is available in PDF format on the Presentations page of the Wheaton Precious Metals website. I'd like to bring to your attention that some of the commentary in today's call may contain forward-looking statements, and I would like to direct everyone to review slide two of the presentation, which contains important cautionary notes regarding forward-looking statements. It should be noted that all figures referred to on today's call are in US dollars, unless otherwise noted. In addition, reference to Wheaton or Wheaton Precious Metals on this call, include Wheaton Precious Metals Corp and/or its wholly-owned subsidiaries, as applicable. Now, I'd like to turn the call over to Randy Smallwood, our President and Chief Executive Officer.
Randy Smallwood: Thank you, Patrick, and good morning, ladies and gentlemen. Thank you for joining us today to discuss Wheaton’s fourth quarter and year-end results of 2021. 2021 was another record year for Wheaton, driven by a strong quarter to close out the year. In the fourth quarter of 2021, we produced over 186,000 gold equivalent ounces, giving us a total of 753,000 gold equivalent ounces for all of 2021. This was slightly above the mid-point of our previously announced guidance. From a financial perspective, Wheaton had another solid quarter, resulting in record annual revenue, cash flow and earnings, as Gary will discuss shortly. This solid performance reflects the underlying strength of our diversified high quality portfolio, and has resulted in a 23% increase to the quarterly dividend relative to the fourth quarter of 2020. In the fourth quarter, we continue to execute on our growth strategy, announcing three new streams on two assets located right here in Canada, Artemis Gold’s Blackwater Project and Generation Mining's Marathon Project. And we weren't done, as the corporate development momentum continued into 2022. We have already announced two additional streams since the beginning of the year, one on Adventus Mining's Curipamba project, and the other at Sabina Gold & Silver’s Goose Project. Including these projects, Wheaton has added eight new streams in the past 15 months, which have brought immediate production, as well as medium and longer-term growth to our already best-in-class portfolio of assets. With the addition of these new streams, coupled with recent exploration success at some of our existing mines, Wheaton’s overall proven and probable mineral reserves grew by 13% on a gold equivalent basis, driven by a 20% increase in gold reserves alone. We are excited about how this expanded base will translate into production growth over the next five to 10 years. Specifically, we now forecast annual production to average 910,000 ounces of gold equivalent production over the next 10 years. With some of those years getting very close to 1 million gold equivalent ounces in the year. Lastly, following ratings update late last year, we are pleased to announce that Wheaton’s demonstrated leadership and ESG continues to be met with sector leading scores including a AA rating from MSCI and a true, number one rating in precious metals by Sustainalytics. I would now like to turn the call over to Gary Brown, our Senior Vice President and Chief Financial Officer, who will provide more details on our results. Gary.
Gary Brown: Thank you, Randy and good morning, ladies and gentlemen. The company's precious metal interests produced 186,400 gold equivalent ounces in the fourth quarter of 2021 comprised of 88,300 ounces of gold, 6.4 million ounces of silver, 4,700 ounces of palladium and 381,000 pounds of cobalt. Relative to the fourth quarter of the prior year, this represented a decrease of 2% in gold equivalent production with lower production at Salobo resulting from lower grades coupled with an 18 days suspension of operations due to a conveyor belt fire being partially offset by improved production at several mines. On a gold equivalent basis, sales volumes were 2% higher relative to Q4, 2020. As a result of relative changes to ounces produced but not delivered. As of December 31, 2021, approximately 157,000 gold equivalent payable ounces were in PBND. In addition to inventory amounting to 657,000 pounds of cobalt or 6,500 gold equivalent ounces with the combined figure of 164,000 gold equivalent ounces, representing approximately 2.7 months of payable production. This level of PBND and inventory is approximately 22,000 gold equivalent ounces higher than the average balance of approximately 142,000 gold equivalent ounces over the preceding four quarters. The increase in PBND is primarily attributable to Salobo and Constancia, with the increase in cobalt inventory being attributable to the commencement of the Voisey's Bay cobalt stream in 2021. Revenue for the fourth quarter of 2021 amounted to $278 million, representing a 3% decrease relative to Q4 2020, primarily due to a 5% decrease in the average realized gold equivalent price, partially offset by higher sales volumes. Of this revenue, 51% was attributable to gold sales, 43% silver, 3% palladium and 3% cobalt. Driven by the decrease in commodity prices, gross margin for the fourth quarter of 2021 decreased 7% to $151 million relative to comparable quarter of the prior year. Cash based G&A expenses amounted to $16 million in the fourth quarter of 2021, representing an increase of $8 million from Q4 2020, primarily due to higher accrued costs associated with performance share units or PSUs reflective of the company's strong share price performance. During the quarter, the sustained increase in the price of cobalt resulted in an impairment reversal of $157 million related to the Voisey's Bay cobalt stream. Including the impairment reversal, net earnings amounted to $292 million in the fourth quarter of 2021 compared to $157 million in Q4 2020. Neutralizing for the impairment reversal together with a number of other minor items, adjusted net earnings amounted to $132 million compared to $149 million in Q4 2020 with the decrease being attributable to lower commodity prices. Basic adjusted earnings per share decreased 12% to $0.29 compared to $0.33 per share in the prior year. And operating cash flow for the fourth quarter of 2021 amounted to $195 million or $0.43 per share compared to $208 million or $0.46 per share in the prior year, representing a 6% decrease on a per share basis. Based on the company's dividend policy, the company's Board has declared a dividend of $0.15 a share payable to shareholders of record on March 24th, 2022, with the $0.15 dividend level, setting the floor for 2022. And under the Dividend Reinvestment Plan or DRIP, the Board has elected to offer shareholders the option of having their dividends reinvested in newly issued common shares of the company at a 1% discount to market. During the fourth quarter of 2021, the company disbursed $68 million in dividends, $57 million in cash, and $11 million under the DRIP program. To-date the company has now returned more than $1.5 billion to investors through dividends, representing almost 50% of the total equity ever raised by the company. Additionally, the company invested $300 million relative to the Blackwater Gold, PMPA, and as Hudbay mined and processed more than 4 million tonnes of ore from the Pampacancha deposit by December 31st, 2021, we made an additional upfront payment of $4 million for the Constancio PMPA. These cash outflows were partially offset by proceeds from the sale of long-term equity investments in the amount of $18 million. Overall, net cash outflows amounted to $146 million in Q4 2021, resulting in cash and cash equivalents as of December 31st of $226 million. For the year ended December 31st, 2021, production amounted to 753,000 gold equivalent ounces, exceeding the mid-point of the company's original guidance. Revenue for 2021 amounted to $1.2 billion, representing a 10% increase relative to 2020 and a record for the company. Of this revenue, 47% was attributable to gold, 48% silver, 4% palladium, and 1% cobalt. On a gold equivalent basis, average realized commodity prices rose by 10% in 2021, leading to an increase in gross margin of 13%. G&A expenses in 2021 amounted to $61 million, representing a decrease of $5 million from 2020, with the decrease being primarily the result of differences in accrued costs associated with PSUs. Non-stock-based G&A expenses which exclude the costs associated with the value of stock options, restricted share units, and performance share units, amounted to $42 million, coming in at the lower end of company guidance. For 2022, the company estimates that non-stock-based G&A expenses will amounted to $47 million to $49 million, with the increase from 2021 being primarily attributable to increased insurance costs, combined with increases in travel-related costs as the restrictions arising from COVID-19 are eliminated. Basic adjusted earnings per share increased 17% to $1.32 in 2021 compared to $1.12 in 2020. Cash flow from operations for 2021 amounted to $845 million, a record for the company and an increase of 10% as compared to 2020, primarily due to the higher commodity prices. This translated into operating cash flow per share of $1.88, compared to $1.71 in 2020. During 2021, the company eliminated outstanding debt by repaying $195 million under the revolving credit facility. We dispersed $218 million in dividend payments, $130 million was received from the disposal of long-term investments, and $520 million in upfront payments were made relative to PAMPA’s fueling future growth. The capacity provided by the undrawn $2 billion revolving credit facility combined with the strong forecast operating cash flows positions the company very well to satisfy its funding commitments and sustain its dividend policy, while at the same time having the flexibility to consummate additional accretive precious metals purchase agreements. That concludes the financial summary. And with that, I turn the call over to Haytham.
Haytham Hodaly: Thanks, Gary, and thank you all for joining us today. By now, you've all noticed that, we had a busy fourth quarter last year, announcing three stream acquisitions to add to the two streaming transactions announced earlier in the year. We subsequently announced an additional two deals in the first quarter of this year and are pressing forward as we continue to pursue opportunities, which can further enhance our medium-term growth profile. We've had a lot of investors and analysts ask us why Wheaton was successful in all these transactions, and where were our competitors throughout these processes? It's a very good question. And what I can say about the opportunities that we've recently consummated is that, although they were all competitive processes, we've been building relationships with many of these counterparties long before they decided to launch a process. We've listened to their concerns and tried to understand what it is they want and need. And we've come up with structures and proposals to create a win-win transaction. Wheaton has also built a strong reputation in the industry over the past 18 years of treating streams as partnerships, bringing value to our counterparties after we've cut them the check for the upfront payments. We do what we can to help them advance their project, providing technical help when they need it, and community support to help reinforce the social license, and flexibility throughout the whole process. Furthermore, we pride ourselves on undertaking a very thorough due diligence process and being highly selective as to what we add to our portfolio. There is value for a potential mining partner to point to their projects that haven't been reviewed by an independent third-party. But there's even more value when they can say, it's been test by the Wheaton technical team. Given our track record of treating our partners fairly, I truly believe that, when bids are close, we come out on top as a preferred partner and that has been demonstrated by our unparalleled success over the past 15 months. And I'll take a few minutes and go through a high level overview of the -- some of these transactions. I'll start with an overview on the Blackwater Project. We were successful in acquiring a life-of-mine silver stream from Artemis and the existing life-of-mine gold stream from new gold both on the open pit Blackwater Project in British Columbia. In total, the two streams will cost us US$441 million with the payment to new gold having already been made and the payment to Artemis to occur in four equal installments during construction. The ongoing gold production payment will be 35% and the ongoing silver production payment will start at 18%. A large amount of exploration and great control drilling on the project has recently significantly de-risked the reserves and resources. A fixed silver recovery will also protect our investment and the large stream area of interest provides significant exploration potential. Construction is expected to start shortly with first production projected for 2024. I'll turn it over to the next slide on Generation Mining's Marathon Project also located in Canada, this time Ontario. With this transaction, our stream on this open pit begins at 100% of the life-of-mine gold and 22% of the life-of-mine platinum until certain thresholds are achieved, after which the stream has dropped by one-third. Wheaton will pay a total of CAD 240 million, of which CAD 40 million will go in as an early deposit in two equal installments. In addition, Wheaton will make a starting production payment of 18% for each ounce delivered. Assuming the timeline is maintained, we would expect to begin receiving ounces in the second half of 2024. The IRR of this project is one of the highest we've seen for this size of output project and we feel there’s strong potential for throughput increases and exploration success, so we're very excited to see this project built. Turning now to the next slide on Adventus Mining’s Curipamba Project located in Ecuador. This is our first foray into Ecuador. And I can tell you that Ecuador is quickly becoming one of the better places to operate in Latin America. Again, this was an opportunity we identified back in 2018 and liked it so much that we took an early equity investment into the company. At Curipamba, which is a polymetallic asset, Wheaton has entered in a life-of-mine agreement for 50% of the gold and 75% of the payable silver for a total of $175.5 million, of which $0.5 million will go to support the communities before production even begins. Once again, we will make an 18% production payment to start and expect this project to begin production as early as 2024. Based on everything Adventus management has accomplished in such a short period of time, and given how they beefed up their team to develop this project and given also their strong in-country relationships, we're quite optimistic on the outlook for this project. And turning to the next slide, our most recent streamer acquisition is from Sabina Gold & Silver on the Goose project at Back River located in Nunavut, Canada. Wheaton has entered into a 4.15% gold stream on the gold that we produce from the Goose project, dropping down after certain milestones are met. For this interest, Wheaton will invest $125 million throughout construction in four equal installments. Based on the current profile and the work that's been done today to advance the project, we believe we could begin getting ounces under our stream as early as 2025. I’ll also highlight that earlier this week, the company announced that it will now start with a 4,000 tonne of day mill, rather than a stage ramp up from 3,000 to 4,000 tonnes and also highlight that optimized equipment selection and detail engineering has resulted in a slightly lower cost for this expansion, which will further improve the IRR of the project. This project is a high-margin long-life asset that falls into the lowest cost quartile and still possesses strong exploration upside with the deposit still open at depth. I'll now pass the presentation over to Wes Carson for the operations overview.
Wes Carson: Thanks, Haytham. Good morning. Overall, production in the fourth quarter remained on budget, with strong production from Peñasquito, Constancia and San Dimas, offset by lower than expected performance from Salobo and Sudbury. In the fourth quarter, Salobo produced 48,200 ounces of attributable gold, a decrease of approximately 23% relative to the fourth quarter of 2020, due to lower throughput grade and recovery. October 22, Vale announced the resumption of copper concentrate production at Salobo that was halted for 18 days due to a fire on one of their main conveyors. Other activities including mine and maintenance operations, continued as usual during this period, but concentrate production was interrupted. If anything, this issue really highlights the importance of investing in low cost, high quality mines such as Salobo, at the speed with which this conveyor was repaired shows how important this asset is to Vale. On January 6, heavy rainfall in the region of the Salobo III mine expansion caused a landslide that damaged part of the conveyor belt and blocked access to the project site. A full assessment of the impact is ongoing and expected to be completed early in the second quarter of 2022. That being said, Vale also reported that physical completion of the Salobo III mine expansion was 85% at the end of the fourth quarter and continues to be on track for a startup in the second half of 2022. During the quarter, Constancia produced 600,000 ounces of attributed silver and 9,900 ounces of attributed gold, an increase of approximately 21% and 151% respectively, relative to the fourth quarter of 2020. The increase in both silver and gold production was due to higher grades resulting from the commencement of ore production from the Pampacancha satellite deposit and the increase in fixed recoveries on attributed gold from 55% to 70%. The Voisey's Bay underground mine extension, which includes development of two new undergone mines, Reid Brook and Eastern Deeps was 67% physically complete at the end of the fourth quarter. Reid Brook produced its first ore in the second quarter of 2021 and Valley as indicated that Eastern Deeps is expected to start up in the second half of 2022. Wheaton's overall, attributable reserves and resources saw good growth across all mineral categories, but the most noteworthy is by far the -- our Proven and Probable Mineral Reserves. On a GEO basis, total attributable Proven and Probable Mineral Reserves for all metals increased by 13%. This was driven by 20% increase in total attributable gold, Proven and Probable Mineral Reserves, primarily due to the recently added PMPAs and increases at Salobo. Attributable Measured and Indicated Mineral resources, exclusive of reserves also saw good growth at 9% on a GEO basis and overall attributable inferred resources grew by 3%. Wheaton's estimated attributable gold production -- attributable production in 2022 is forecast to be 350,000 to 380,000 ounces of gold, 23 million to 25 million ounces of silver and 44,000 to 48,000 GEOs of other metals, resulting in production of approximately 700,000 to 760,000 GEOs. For the five-year period ending in 2026, the company estimates that average production will amount to 850,000 GEOs and for the 10-year period ending in 2031, the company estimates that average annual production will amount to 910,000 GEOs. That concludes the operations overview and with that, I'll turn the call back to Randy.
Randy Smallwood: Thank you, Wes, Haytham and Gary. In summary, Wheaton recorded a solid fourth quarter, which resulted in a record full year of 2021, distinguished by several key highlights. We achieved record 12 months revenue earnings and cash flow, driven by production to 750,000 – 753,000 gold equivalent ounces, which was once again slightly above the midpoint of our guidance. In 2021, our commitment to accretive growth was emphasized by the completion and welcoming of five new streaming partnerships into our portfolio of high-quality assets, which contributed to the significant increase to our reserves and resource base. Wheaton showed the continuous growth in our dividend through the -- throughout the year with total dividends paid in 2021, increasing by over 35% from 2020. Following recent ESG ratings updates, we were honored to once again be recognized by external rating agencies for our performance in this area with sector leading scores. And lastly, we believe our portfolio continues to deliver ample opportunity for organic growth, the benefit of which we expect to see from assets such as Salobo, Voisey's Bay and Constancia. So operator, with that, I would like to open up the call for questions, please.
Operator: Thank you, sir.  And your first question will be from Tyler Langton at JPMorgan. Please go ahead.
Tyler Langton: Good morning, Randy and team. Thanks for taking my question. Just to start with Salobo, obviously there was pretty impact recently from the fire and a landslide. Could you just talk a little bit about sort of what you think production could look like this year and then with the Phase 3 expansion, what it looks like over the next several years and I know flow rate kind of produce more for you in the sort of the attributable production was in sort of the 270 to 280 ranges. It's something where you think with the Phase 3 expansion, you can kind of get back to those levels?
Wes Carson: Thanks Tyler, it's Wes here. So, I would say, I mean, the last two years have definitely been difficult for Salobo with COVID and with the fire last year certainly. So, we are seeing certainly improvements moving into 2022 here. There is better production there and certainly with Salobo III coming online in the latter part of the year here, that production will ramp up. Now, that being said, I mean, the grade does come off a little bit in the coming years. So, we will see things getting back closer to the levels we've seen in the past, but not really exceeding kind of that 270 to 280 that you're seeing there. So, it is more of a kind of maintaining as the grades come off a little bit, but certainly production going up significantly with Salobo III coming online.
Tyler Langton: Great, that's helpful. And then just second question, just about the -- you have done a lot of deals recently. I mean is your pipeline still pretty, sort of, active and then you've just kind of given a commentary in terms of size of deals, sort of, type of deals whether its primary precious metal or byproducts. Just any color around that area would be great?
Haytham Hodaly: Yes. No, you bet. Thanks for the question, Tyler, its Haytham here. We're still seeing a lot of new precious metal streaming opportunities. The majority still, I think, as I said before falling into the $100 million to $300 million range. And they're primarily developing stage opportunities with precious metals as a byproduct and that's obviously where streaming works best. As you've seen from last few deals these streams will continue to help our medium term growth profile and that's just the stage in the cycle that we're in right now. Most of the base metal companies are cashed up and so they're not looking for financing from that perspective, but development stage opportunities are definitely out there. So, we're trying to find the best ones as we move forward. We're also seeing streaming to fund expansions and for M&A opportunities, but we do think this will increase as time goes on. But we have yet to consummate a material one from an expansion -- or sorry, from M&A perspective. As share prices rise, there's going to be a point where companies will begin to use their strong paper for consolidation and we're not seeing much in the day -- these days in ways of balance sheet repair and that's expected given the strong commodity price environment. We're very optimistic that we can continue to play our cash and add quality streams in the current environment accretively, probably not one a month like we've been doing for the last five months. But I'm definitely going to keep trying to get some high quality streams. But it's not -- for us, it really is quality. Our focus is not on quantity, it's getting the portfolio -- getting the streams -- high quality asset to a portfolio that's already a high quality portfolio so.
Tyler Langton: Great, that's perfect. Thanks gentlemen. That's it for me.
Randy Smallwood: Thanks Tyler.
Operator: Next question will be from John Tumazos at John Tumazos Very Independent Research. Please go ahead.
John Tumazos: Thank you and congratulations on everything.
Randy Smallwood: Thank you, John.
John Tumazos: Randy, I noticed that, as best I can study your assets. Wheaton doesn't have a single asset in any of the 52 countries that refused to condemn the Ukraine invasion last week at the UN?
Randy Smallwood: Well, I wasn’t tracking--
John Tumazos: You're the only royalty streaming company among the large ones that can say that as best I can determine. Could you just talk a little bit about the history of the company and how you've managed to stick to North and South America, four spots in Europe, and I know it's not a perfect measure of political risk, we still have Pascua and Rosemont and Navidad and thanks it didn’t hung up. But just talk about how you pick countries and how you stay out of certain continents, please?
Randy Smallwood: Yes. Sure. Well, and John, you've known the company long enough to remember the Silver Wheaton days, we did start off as a silver focused company and being silver focused that led us to the Americas, Mexico and Peru, particularly dominant in the silver space. And so when it came to looking for silver projects, it just gave us an Americas bias right off the bat. And to be honest, we've maintained that to a very large extent. It's been a while since we've added anything outside of the Americas. Most of the projects we are looking at are in North and South America. And even currently, we still -- we reviewed projects in Africa, in Asia and we do have a few streams in Europe, in good stable jurisdictions, but it is something that's important to us. John, you know this business as well as any in the sense that these are life-of-mine investments. We are making life-of-mine investments into these assets. And so, we're not here for the three to four to five years to flip it into some other owner. We own our decisions, and we own them for life-of-mine. And so, political risk is something that's incredibly important to us, and we have to make sure that we capture that. It's not something that can be truly measured or estimated. And you listed off a couple of examples, Pasqua and Rosemont projects that shouldn't be built and I'm confident will be built. But sometimes -- I'm a strong believer that common sense will prevail, sometimes it just takes a while. And I truly believe that that's the situation with both of those and a few other assets in our portfolios. They are good quality assets. And when you compare the impacts to all stakeholders, they would provide net positives to society as a whole in terms of those projects going forward. Especially, some of the ones that will be delivering copper into today's world seeing where copper is right now. And so, we patiently wait for those partners to work the way through their permitting challenges and get those projects we established and deliver positives back to society. When it comes to looking at countries, it is something that's very, very important to us and we are blessed with a great portfolio of assets that will provide good strong exposure, especially in times like this when everyone should have some precious metals, everyone should have some gold in their portfolio, and our whole objective is to make sure that Wheaton is the preferred choice when it comes to exposing yourself to precious metals in your portfolio.
John Tumazos: Randy, thank you. If I can ask another?
Randy Smallwood: Of course.
John Tumazos: It’s impressive that you've completed so many transactions, and of course, the companies invite you to invest when they need the money to build the mine before it's in production. Have you been able -- has your team been able to visit these sites as the COVID restrictions starting to ease and with inflation being rampant, how are you relying on or not relying on tech studies, the QPs have a hard time keeping up with inflation just like all of us.
Randy Smallwood: I’m going to -- John, I’m going to let Haytham start off with the answer there.
Haytham Hodaly: Sure. I'll start with the first -- to answer the first part of the question. Just with regards to site visit John. We've -- when COVID first started, there was the travel restrictions that for about the first six months to -- maybe six to nine months, we weren't able to really travel. So we did -- still do a very detailed desktop review. And I have to say, we also actually hired in-country consultants for the opportunities that we were looking at to actually confirm what we actually included from our desktop reviews. So we made sure that it still passed our hurdles, internal technical hurdles. But I also have to say that a couple of transactions that we consummated right as COVID started, we'd already visited the year before towards the tail end of the year. So we weren't really disadvantaged about. A year and a half ago, we decided we were fairly comfortable traveling. So we did travel to a lot of the sites and sometimes that involved us coming back and quarantining in our basements for two weeks, which wasn't a lot of fun, but we did what we had to do, and since the quarantining for two weeks just stopped, we resumed operations as usual.
Wes Carson: And the second part of that, John, first-off and then as Haytham underscored. We own our decisions. And we don't -- we never rely on other QPs and other reports. I mean, we use them for guidance obviously. And we test projects relative to that, but our technical team takes these projects apart and rebuilds them. And it's because we report directly to our shareholders, and when we come up with a production number, we stand by that, we own that decision. We're not going to point the finger at anyone else. And so, it's something that's very, very important in terms of understanding these projects, not only from a risk sense, but also from an opportunity sense. And again, I highlight, going back to the whole partnership aspect of a streaming agreement, where we're if we see opportunities to help our partners be stronger, we put that effort in. And we try and find those opportunities and shape that. And so -- and the other area, you mentioned in terms of relying inflation on capital cost estimates, again, reinforcing that first quartile, second quartile assets where they have healthy margins. So if you do have to deal with a bit of a capital cost overrun, which is probably going to be more of the cases, inflation rears its ugly head here over the next few -- I think, it's going to be around for a while, you want to make sure that you have projects that do have those margins, they still drive the incentive to invest. And then, you also want to make sure that these projects have capacity. And I can tell you that, a number of the projects that we've recently invested into, we'd love to do larger streams on them. And so, those companies, they know that they've got Wheaton in their back pocket to help them, if they need that, in terms of going forward. So, again, the capacity that we see in these projects, because of their high operating margins, if there's a need for a bit of extra capital during that construction period, we hoped to be the first place -- the first door that those companies knock on to try and satisfy that need for extra capital. So, I think, we're perfectly positioned to help our partners be successful. And that's the whole objective.
Gary Brown: I would just add one other thing, John, its Gary here. From contractual perspective, we always include completion tests and completion guarantees, which give us a lot of protection for any type of delay that might arise.
John Tumazos: Thank you very much.
Randy Smallwood: Thanks, John.
Operator:  And your next question will be from Adam Josephson at KeyBanc. Please, go ahead.
Adam Josephson: Randy, Gary, Haytham, good morning. Thanks for taking my questions. Appreciate it. Haytham you mentioned, you talked about base metal producers not being in any great need of capital at the moment like, precious metals producers for that matter, but have you alter -- and maybe this is for Randy, whomever -- have you changed your thinking at all in terms of the attractiveness of base metals vis-à-vis precious metals? Just given everything that's going on, you obviously reversed your impairment, because of what's happening with cobalt prices? I mean, has your thinking evolved at all along those lines, obviously, you want to be very much a precious metals company, but might you be a little more flexible in terms of the percentage precious metals than was the case before. And just, any thoughts you have along those lines?
Randy Smallwood: Sure. Hey, Adam. And it's a good question because it does come up, and as we've seen cobalt on its way to becoming a precious metal, it's definitely bears interest in terms of how we’ve done on that front. But it really comes down to what we're offering to our shareholders. Our focus is to be a precious metals company. And if you want iron ore exposure, I can point you to a company and that allows you as a shareholder to vary your interest levels in iron ore. I'm not going to force an exposure to iron ore to you. If you want oil and gas, I can point you in whichever direction you want. There's a number of companies out there that provide good pure oil and gas exposure. I really think that shareholders should have the opportunity to define their own diversity in terms of when it comes to that exposure. So our mandate, our focus here is to be the best precious metals company that we can be and deliver that precious metals exposure. Now, that being said, we study everything. While I will say we don't study oil and gas, we don't even bother looking at oil and gas. But we do study everything. We look at the iron ore stuff, we look at cobalt, mainly because we like to know what our peers are doing in the space and understanding that. And I'm not going to say that we won't shy away from the occasional dealing that, as has exemplified by the Voisey's Bay deal with Vale. But the reason we did that transaction was because Vale approached us looking for support for that mine. They're an existing partner, more we studied the cobalt market, the more we liked it as an asset. And so -- and that asset, especially in the cobalt world, produces the greenest, most socially responsible, most environmentally sound cobalt in the world, dedicated smelting facility at Point Henry that just delivers top tier product to the -- to society. And so it just had some special aspects to it that made it very unique. And there was an existing partner, where we – we’re looking to provide that support. We're not out hunting that stuff, but if opportunities or portfolios come along, where there's a bid of base metals exposure we're also not shy of that but we're not looking for it. And so my prediction is we will constantly stay over 95% precious metals exposure and depending what cobalt does, it may even climb to 100% again.
Gary Brown: Maybe Adam, I'll just add one thing to that. So as the opportunities come in, we recognize and the market recognizes that we're a precious metal streaming company. Now if for some reason there was an opportunity that came in that said, listen, you have to do the precious metals and the tiny bit of base metals, we wouldn't let that disadvantage our bit and the opportunity to add a good high quality precious metals portfolio. If we liked the asset, we would maintain that small base metal component in our portfolio. If we didn't feel comfortable, we'd find a partner and there's lots of partners out there looking for us to partner with them on these streaming opportunities.
Q – Adam Josephson: And just to follow-up. So if a uranium opportunity came your way, that's not something that you would be – it sounds like all that interested unless it was part of some other opportunity as well.
Randy Smallwood: That's safe to say, yes.
Q – Adam Josephson: And Haytham, in terms of -- you mentioned the IRRs on a couple of other projects in going over the four acquisitions since December. Can you frame for us, how you thought about the IRRs on those deals, relative to the roughly 5% discount rate, that's typically applied to your future cash flows?
Haytham Hodaly: Sure. And the way we look at these transactions is we start at a specific discount rate and we incorporate increases in that -- to that discount rate, depending on what type of risk we have, what type of security we can get, guarantees, where it is in the development stage, who the partner is? How long to production? So, we reflect that a lot. I think, when we try to get something that's at least, if we can consistent with what our weighted average cost of capital is, and if you look at our return over the last, call it, 18 years, I think Gary would probably tell you, it's probably somewhere in the 18% range. So, obviously that commodity price has something to do with that, but we're never going to jump into something that we don't feel is going to generate that solid return for us without a movement in the commodity price. So, we do take a deep dive into the exploration upside into the potential for expansions in throughput projects efficiencies, improvements in recoveries, so all that is weighed into our analysis. So, if you suddenly see us coming in with a 5% IRR on a transaction, which I think one of the transactions we did have that level, I can tell you, we think it's a lot higher than that. That's just what's public.
Gary Brown: Adam, we target typically high -- on a straight line commodity price going up, we target high single-digit on existing operations and low double-digit on development projects. But just to reinforce what Haytham said, we value these assets based on what we uncover, based on what we build, based on what we see, we don't rely -- we obviously use as a reference and a check point, the company's own guidance and the company's own qualified person reports are independent QP reports. But we do build it ourselves and that's key because, if we see opportunities on the grade side, if we think they've been a bit conservative on interpretation or  and stuff like that, we -- again, going back to an earlier comment, we own our decisions, and so anytime you see something that might look a little bit lower, I'd be cognizant that there might be some exploration success coming or perhaps there's a grade upside opportunities that we've uncovered in our own due diligence because we haven't changed the way we value these assets ever since we started the company, it's the same approach.
Adam Josephson: I appreciate. And just one clarification. If you think about the last four deals compared to the preceding several that you did, did you view the IRRs much differently in terms of the last four versus your more historical deals?
Gary Brown: No, our approach has been exactly the same.
Adam Josephson: Thanks very much.
Randy Smallwood: Thank you, Adam.
Operator: Next question will be from Lord Ashbourne at Edison. Please go ahead.
Charlie Gibson: Good morning and thank you very much indeed for taking my questions. Charlie from Edison in London. I wonder if I could ask probably a question for Gary I think, but you obviously made some fairly substantial investments in the fourth quarter, which would be in line with the announcements you made about the various streams you'd bought. I'm guessing, you haven't paid all of the consideration for all of them, but I just wondered if you could outline, how much you paid for what streams early so far in the fourth quarter and how you see the balance of that panning out over the course of the next year or maybe further. I mean, granted that's all covered by cash flow. I understand that, but I just want to -- what's been paid for and what's outstanding still?
Gary Brown: Yes, so in Q4, we made two payments that I would consider upfront payments relative to PMPAs. The first was the $300 million that was paid to new gold relative to the Blackwater gold stream. So, that's been paid and as Haytham outlined, there's silver stream that we've done with Artemis that we will make $41 million worth of upfront payments relative to -- as they move forward with construction. But -- and then, there was a $4 million payment made to Hudbay relative to Constancio for them. Mining more ore than we had anticipated from the PMPA contract pit, so $340 million in Q4. At the end of December, we had about $1.9 billion of commitments outstanding, the biggest of which relates to the Salobo III expansion. And we only make that payment, which we estimate will be in the neighborhood of $550 million to $650 million and we make it once they satisfied completion test, which we expect they will satisfy in 2023. And then the other payments, roughly $1.3 billion worth of additional payments will be made over the next five years really. We -- without us doing another transaction, we don't see ourselves actually being needing to draw upon the credit facility to satisfy those payments. So we would expect to be satisfying those payments with operating cash flow.
Gary Brown: But Charlie trust me, we are trying to dive into that revolver always, but only for the right projects.
Charlie Gibson: I understand quite. While I have you, can I ask another question? It’s a slightly housekeeping question, which I apologize. But, I mean, correct me if I'm wrong. It looked like there was slightly more restatements of past production, in your results announced on this time than I'm used to. I'm used to Sudbury being restated quite often but look like there were few more. And I just wondered if there's any particular reason for that? I put it down internally to COVID. But maybe my observation is wrong. But I just wondered if there was anything about your counterparties bookkeeping that was peculiar about last year?
Randy Smallwood: Charlie, you've got us scratching our heads here right now. So we're going to have to perhaps take this offline and go back, because there's nothing unusual in terms of restatements. I mean, you know…
Gary Brown: I mean, Charlie, you have to remember that production is always an estimate and we get -- as we get more information on what was actually produced in a quarter we go back and make modifications. That being said, I don't -- I'm not aware of any significant modifications to past production. But like Randy said, we'd be happy to follow-up offline on that.
Randy Smallwood: Yeah.
Charlie Gibson: I understood. Thank you. They certainly weren't significant in any way at all. It was just, I was tweaking my numbers a bit and thought that I was tweaking more than normal. It was more feeling than anything else. Look, congratulations, and thank you so much, really appreciate it.
Randy Smallwood: Thank you, Charlie, and thank you everyone for dialing in today. In closing, we believe Wheaton is well-positioned to continue delivering value to all of our stakeholders for a number of different reasons. Firstly, by having low and predictable costs, which when coupled with leverage to increase in commodity prices results in some of the highest margins in the entire precious metal space. Secondly, by offering our shareholders exposure to some of the highest quality mines in the world, through our diversified portfolio of long life, low cost assets. Thirdly, by offering a growth profile unmatched by the senior streaming and royalty companies. Fourthly, by being the preferred partner for precious metal streaming by delivering more value to our partners than just the upfront payment. Fifthly, by returning value to shareholders through our unique cash flow linked dividend policy. And lastly, by being a leader in sustainability, and by supporting our partners and the communities in which we live and we operate. I do look forward to speaking with you all again soon. Until then, please stay healthy and stay safe. Thank you.
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines. Have a good weekend.